Operator: Good morning, and welcome to the Olympic Steel Third Quarter 2013 Conference Call. Some statements made on today’s call will be predictive and are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995 and may not reflect actual results. The Company does not undertake to update such statements, changes in assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties, and other factors that could cause actual results to differ materially are set forth in the Company’s reports on Form 10-K and 10-Q and press releases filed with the Securities and Exchange Commission. Today’s live broadcast will be archived and available for reply on Olympic Steel’s website. At this time, I would like to introduce your host for today’s call, Olympic Steel’s Chairman and Chief Executive Officer, Michael Siegal. Please go ahead, Mr. Siegal.
Michael D. Siegal: Thank you, operator. Good morning and thank you all for your interest in Olympic Steel. On the call with me this morning are David Wolfort, the President and Chief Operating Officer; Rick Marabito, Chief Financial Officer; and Don McNeeley, the President and Chief Operating Officer of Chicago Tube & Iron. I’ll start with an overview of our strategic process, Rick will provide details on the third quarter and year-to-date financials and then David will conclude our prepared marks, which is operational update. After that we will open up the call for questions. During the third quarter, we continue to execute our plan to increase the value content in our products and services and reduced our sensitivity to metal prices. We wouldn’t mind a little help from the market in terms of better demand, but we’re not being complacent and waiting for that to happen. We are strengthening our operating teams by making several organizational realignments to support our growth. David will elaborate on recent operating promotions and redeployment. So I would like to highlight the key addition of Mr. John Howard to our management team. Mr. Howard joined Olympic Steel in September after previously serving as a consultant to the Company. He has been instrumental in the implementation of our lean operating initiatives. We look forward to his full time contribution as we shift from transformational capital investment over the past several years to optimizing returns from these new assets. Mr. Howard will focus on further improving operational efficiencies at all facilities and advancing the integration of our consolidated operations. His actions will reduce cost while enhancing customer service. During the third quarter, our market share continued to increase in stainless and aluminum and we are now operating a cut-to-length line in Latrobe, Pennsylvania supporting the growth of our specialty metals businesses, integration of pipe and tubular products in geographies already serviced by Flat Product continues in Cleveland, Kentucky and Monterrey, Mexico. The expansion at CTI St. Paul facility is on budget and we just received our occupancy certificate. We’re excited about the additional physical space and the enhanced branding that site provides us in the pipe and tube market. On the flat product side, we are increasing integration with key accounts and partnering with customers on more complex programs such as kit and parts and heavy assemblies. This results in long-term benefits to both Olympic Steel and our customers by increasing the value component of our capabilities, while allowing customers to focus on their own capital returns, which typically are not in metal procurement and initial stage processing. These activities pair well our long-term approach to the market and often result in expanding margin potential and reducing cyclicality for both Olympic Steel and our customers. In the service centre business, if you don’t adapt and improve you will not be successful. We have developed operating skills ideally suited to satisfy evolving industry trends. As more OEMs desired to outsource the multi-stage metal processing, Olympic Steel is quickly becoming the value-added supplier of choice. Successful execution of our gross strategy has resulted in Olympic Steel becoming one of the top 10 largest service centers in North America and that’s according to the Metal Center News annual survey released last month, which ranks the largest service centers. This is a genuine testimony to where we are headed. When we attained our first billion in sales we had meaningfully set our sights on reaching the second billion while improving net profit margins in the process. Our six new facilities have all transitioned to profit contributors and our management team is ideally aligned with the right people in the right positions to deliver profitable growth. Despite tied into less than ideal market conditions this year we are increasing market share in the chosen areas of pipe and tube, stainless aluminum and fabricated parts and assemblies while not forsaking our core carbon businesses. We are optimistic about the future. This is an exciting timing at Olympic Steel and we’re all working very hard to achieve the next level of success. We also announced this morning that the Board of Directors have declared the regular cash dividend of $0.02 per share payable on December 16, 2013, to holders of record at December 2. On the financial management side of the business we were not surprised, but delighted just the same to learn that Rick Marabito was selected as the CFO of the year by Crain's Cleveland Business. This recognition simply reinforces that we have known for a very long time. Rick is instrumental and has been instrumental in our growth over many years and we congratulate him on this well deserved recognition. With that, I’ll turn the call over to the award-winning Rick Marabito.
Richard T. Marabito: Thank you very much, Michael, and good morning everyone. I will review the first quarter financial highlights and then turn the call over to David for the operational review. Shipments of Flat Product decreased 5.6% in the third quarter. This resulted in year-to-date shipments declining 6.3% to 837,000 tons compared with 894,000 tons in last year’s nine month period. The lower volume is related to a weak spot market and generally softer year-over-year demand. Lower prices combined with less volume resulted in consolidated net sales declining 11% to $304 million in the quarter compared to $343 million in the third quarter of last year. Year-to-date net sales were $973 million also down 11% from the $1.1 billion we recorded in the comparable period of 2012. The revenue decline can be attributed equally to the impact of price and volume. Consolidated gross margin percentages increased during both the quarterly and nine month period, despite the lower volume and the lower pricing environment. This was due to maintaining consistent per unit profit on our flat products and reinforces our strategy of increasing the value content of our products and services. LIFO positively quickly impacted reporting gross margin by 0.1% in the third quarter and by 0.3% in the nine months. Excluding LIFO income consolidated gross margin in the third quarter expanded to 20.6%, up from 19.3% in the third quarter of 2012, and expanded to 20.7% in the nine months period versus 19.5% in last year’s comparable period. Consolidated operating expenses for the quarter declined by more than 4% or $2.6 million compared with last year. More than $1 million in quarterly savings can be directly traded for the cost reduction initiatives announced last quarter. Year-to-date operating expenses decreased $4.4 million in the flat product segment. This was partially offset by an increase of approximately $2 million in the tubular and pipe product segment where our sales volume is up. Due to our recent strategic capital investments certain fixed costs including occupancy and depreciation were modestly higher in 2013 compared with last year. This resulted in quarterly operating income declining to $4.2 million down from $4.6 million last year. For the nine months, operating income was $19.8 million compared with $26.6 million last year. As expected, year-over-year interest expense declined significantly for both the quarter and the nine month period. Third quarter interest expense declined to $1.7 million down from $2.1 million last year, a decrease of more than 20%. Year-to-date interest has been approximately 21% lower so far this year totaling $5.1 million versus $6.4 million in 2012 nine months. Net income for the third quarter was $1.3 million or $0.12 per diluted share that compares with $1.6 million or $0.15 per diluted share last year. For 2013 year-to-date, we reported $9.0 million or $0.82 per diluted share, compared with $12.4 million or $1.13 per diluted share in 2012. The LIFO income had a positive net income or a positive net impact of $0.14 per share in 2013 year-to-date. As a result of our lower CapEx which is now running well under our depreciation, as well as our inventory management efforts and other working capital improvements, we generated substantial free cash flow. So far this year, we have generated approximately $49 million in cash from operating activities. This reversed the $15 million of cash used in operating activities last year and it has allowed us to significantly delever our balance sheet, approximately $23 million of this years cash generation can be attributed to working capital management efforts. Moving forward we anticipate a greater proposition of our cash generation will be derived from earnings versus working capital activities. Further excess cash will still be used to further reduce our debt. Inventory levels declined again in the third quarter, albeit at a slower place than in the first half of the year. At the end of the quarter, we held $246 million of total inventory compared with $290 million to start the year. We continue to improve inventory turnover in the quarter, which has been a primary objective for us this year. Inventory turnover for flat products increased from 4.2 times in the first quarter to 4.6 times in the third quarter. We averaged less than 4 turns in 2012 as we on-boarded our 6 new facilities. And in the 2013 year-to-date period our turnover has now improved to 4.4 times. We still assume more room to compress our cash conversion cycle and we believe we’ll return to approximately 5 turns per year. This year, a majority of our excess cash flow is been used to retire debt. At the end of the third quarter, we held $201 million in total debt and that’s down $41 million or 17% from the $242 million at the beginning of the year. This has lowered our debt to equity ratio from 83% at the end of 2012 to 67% at the end of September. Finally, at quarter end, shareholders equity stood at $300 million or $27.36 per share, that’s up from $290 million or $26.54 per share at the end of 2012. Now I will turn the call over to David for the operating highlights.
David A. Wolfort: Thank you, Rick. As we indicated in our prior call in August, this year’s third quarter began with steel prices advancing from the lows of late May and recovering into the mid-600 range considering base products roll down. Prices fluctuated during the quarter, averaging below last year’s levels and volume as reflected uneven cycles within the first nine months of 2013. That said after the normal seasonal slowdown in July, the reminder of third quarter returned to the shipping levels from the second quarter. We are entering the final quarter of the year on better fitting than we started the third quarter. Prices and volume have held up through October, and the mills have recently announced list prices north of 650 on some supply side. Lead times have stretched out reflecting low channel inventories and some maintenance averages. This has resulted in the customary inventory build as longer term price forecast remain weak. However, sitting here today, the near-term outlook for the next quarter or two is slightly stronger than it has been all year although we do recognize the uneven nature of this recover. I am pleased to announce a number of critical milestones associated with our long-term growth strategy that we successfully achieved during this third quarter. As both Michael and Rick touched on, we made excellent progress on the execution of our inventory reduction plan. Since our last conference call, we have appointed Ray Walker to the new position of President and Chief Operating Officer of the flat-rolled division. Ray has been with Olympic Steel for 27 years and most recently has been the Senior Vice President of our Eastern Region. Assuming Ray’s [indiscernible], we promoted John Mooney, a 24-year Olympic Steel veteran, the Vice President of the Eastern Region. Following that, Zachary Siegal is taking over the leadership as General Manager of Cleveland Operation. We also decided it was time to have committed management oversight to our two growing facilities in Mount Sterling, Kentucky. And in that new position, we appointed Jeremy Thiessen as General Manager. Jeremy has been with the company since 1995. All of these are exciting developments in each of these individual’s careers and we are throughout each of their promotions. With Don McNeeley heading the CT&I team, Andrew Greiff heading our Specialty Metals product line and now Ray Walker overseeing company wide that product. We have the expertise, the proven leadership as well as the assets and technology to harness the capital investments that we proactively made over the past few years. The quarter structure envision several years ago and we have embarked on our growth agenda has been accomplished. Experienced leadership, dedicated to profitable growth and operational excellence is in place. Now, facilitating our individual responsibility to maximize the return of the assets entrusted to them, as Michael indicated we welcome John Howard as our new director of operational excellence. After working with us in a consulting role for more than a year, Don assumed this important newly created role and he reports directly to me. Reducing cost and expanding operational margin is a top priority for us and the theme you will be hearing about regularly as we move forward. We are pleased to have attractive settlement with John’s demonstrated experience and talents in joining us in this capacity. John is a Master Black Belts Six Sigma and he will be helping each of our divisions to find and execute stronger disciplines which will reduce our overall operating costs. We have value additions to our experienced senior management team. For advancing and realigned organizational structures [indiscernible] move the executive management team to accept office facility, senior executives and responsibilities span the entire corporation after we relocated to an office suite in Highland Hills, Ohio, less than three miles away from our former corporate office at Bedford Heights. So it’s been a very active year thus far and despite the uneven markets we are confidently moving the enterprise forward. With that, we’ll now open the call for your questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instruction) Our first question is from Martin Englert with Jeffries. Go ahead, please.
Martin Englert – Jefferies LLC : Hi, good morning, everyone.
Michael D. Siegal: Good morning.
David A. Wolfort: Good morning.
Martin Englert – Jefferies LLC: I wanted to see, if you could talk a little bit more about what drove the revenue per ton quarter-over-quarter one must see carbon flat-rolled prices were ticking up a little bit?
Michael D. Siegal: Martin, could you say that again please, I am not sure, do you want to know the gross margin per ton?
Martin Englert – Jefferies LLC : Revenues per ton, looks like that it ticked lower quarter-over-quarter when flat-rolled pricing was picking up.
Michael D. Siegal: So you are asking about the average selling prices on the flat-roll side and a couple of things there. Number one, obviously, as we've talked about we had a weaker spot market environment, so the volume in the spot side really get to more of the immediate increase in pass through of the price was really not very robust in the quarter. Secondly and tied in with that in terms of pricing, there is a bit of lag in terms of contractual pricing and when that takes effects versus when market prices are announced. So those would be the two major factors for that and as David commented in his section, while we see prices increase in the beginning part of the third quarter, we started to see those prices leaking through the back part of the third quarter.
Martin Englert – Jefferies LLC: Thanks, that’s helpful. And when I think about the cost reduction efforts and the $4 million that was taken out on an annualized basis, was there much of an impact SG&A on the third quarter from that or should we will largely be expecting that on a go forward basis, roughly a $1 million less, assuming same run rate for sales in the fourth quarter?
David A. Wolfort: Yes, you can basically plan for the same run rate, so in other words we initiated the $4 million annual plan really at a very, very tail-end of second quarter. Third quarter pretty much saw a full quarter of effect. And most of that $1 million quarterly full effect hit the line item of warehouse and admin. Those would be the two line items where you see the bulk of these savings.
Richard T. Marabito : Yes, I would just say, Martin we have other cost saving initiatives that we’re undertaking as well. But that’s in the direct impact of the – that we could – we cam talk about at the $4 million level.
Martin Englert – Jefferies LLC: And then one last one there if I understood correctly, I know there were remarks seemed like the SG&A in tubular stepped up some as the result of fixed costs, is that correct?
Michael D. Siegal: Don?
Donald R. McNeeley: Yes, this is Don McNeeley. Yes, we have – we have suffered the same parallels on the rest of the industry and that our business is good, the tubular sector has grown year-to-date about 2.1%, or up 3.6% the take away from that is we are gaining market share, and there are certain cost affiliated with that. The flip side of that is unfortunately we had a steel price imputed in our budget that almost 15% higher than the year has unfolded. We too have undertaken some cost reduction efforts in pursuit of the Chairman’s charge to pursue operational excellence, and I’m pleased to report that not withstanding 3.5% greater partnership this year. We too have implemented some cost reduction efforts in our pursuit of efficiency. And beginning in the second half, we took $1.2 million out of our operating expenses; $700,000 of which we will be realizing this year to $1.2 million reductions in annualized numbers. So we are on board with this effort.
Martin Englert – Jefferies LLC: And the broader cost reductions for the Company on a go forward basis. Should it be – expected to be smaller in scope rather than this $4 million that was taken out recently?
David A. Wolfort: So Martin the idea is $4 million as we talked about was Phase I if you will. And as we mentioned on last call Phase I really dealt with a lot of manpower reduction some consolidation of shift that type of thing. What we were talking about now is really more fundamental ongoing improvements and efficiencies. We spent a lot of time this morning talking about John Howard and some of the initiative that we will be embarking on. So the next phase, the Phase II if you will is really getting a lot better and more efficient within our plan and having sustainable operating reductions going forward. As Michael said we are not quite in a position yet to quantify all of those. But we are very focused on going forward making sure that we do that. And so you will end up being consequently the bulk of those savings really hitting in the warehouse distribution a little bit in the occupancy line and some in the advent size. So it’s not just going to be on the warehouse walls, to take a look at admin, but hopefully that helps.
Martin Englert – Jefferies LLC: It does, thank you very much.
Operator: Our next question comes from Ed Marshall with Sidoti. Go ahead, please.
Ed J. Marshall – Sidoti & Co. LLC: Good morning, gentlemen.
Michael D. Siegal: Good morning, Ed.
Ed J. Marshall – Sidoti & Co. LLC: I missed the volume numbers, Rick. Do you have them, I apologize.
Richard T. Marabito:
Ed J. Marshall – Sidoti & Co. LLC: Okay. With the charges in the quarter for the rationalization the employee reductions et cetera.
Richard T. Marabito: No, no. Those any cost that we have in terms of employee reduction are basically netted through the savings numbers, and there is nothing of significance that would weren’t to call in or an usual charge.
Ed J. Marshall – Sidoti & Co. LLC: Yes. You mentioned that there is some signs that 2014 looks like it’s starting to show signs of improvement. I am curious, are you buying inventory in front of that maybe the expectation that if pricing goes up?
Michael D. Siegal: No, we are not essentially taking a risk management approach. Again, I think both Rick and David highlighted the fact that we are tying to maintain and continually improve our inventory turnover. So while you might not see every month or every quarter being exactly on the improvement scale. But we are not speculating or we are building according to our customer demand and clearly we want to get the working capital turnover to the place that we wanted to be.
Ed J. Marshall – Sidoti & Co. LLC: I kind of wanted to ask more of a any kind of longer term view type. In the past cycles you’ve reached $5 better a share. But you’ve added Chicago Tube, you’ve added with some additional equipment, some additional facilities. I’m just kind of maybe you could frame kind of what the potential for this businesses over the cycle as the markets improve. And I guess that it’s a function of volume and pricing and net prices variable but, if you can help me out there.
Michael D. Siegal: Yes, I think I appreciate the question very much. I mean I think obviously we are in a much better position today than we were in those previous cycles. As you indicated, we made a number of investments in different businesses that would kind of solidify and will smooth out some of the volatility as we have done in pipe and tube. We’ve added equipment in pipe and tube, we’ve added the locations that we talked about at Cleveland and Kentucky and Mexico and we are going to add pipe and tube into other all the big facilities. What we are seeing is in the specialty metals, two facilities today that we didn’t add, one in Lester, Pennsylvania, one in Streetsboro, Ohio, all of this is to build capacity as well as opportunity for earnings per share improvement. So as we look, we see significant kinds of improvement capabilities, what we’ve done though is, we’ve deployed a lot of capital to build capacity. Now what we have to do is execute on that capacity along with the operational excellence that we talked about to make sure that the cost don’t outrun the opportunity, but we have enough capacity to exceed the $5 a share today with lot of CapEx. Although we continue to pursue opportunities both at the M&A side and other significant customer driven locations that we may undertake, but we are already in position from a product diversification, from the geography and from a value-added component tree to better than the previous cycles by a long measure.
Ed J. Marshall – Sidoti & Co. LLC: Now you just need the market to come back?
Michael D. Siegal: Now we need to execute regardless of market.
Ed J. Marshall – Sidoti & Co. LLC: Perfect. Thanks guys. Good color. Thank you.
Operator: Our next question is from Barry Haimes with Sage Asset Management. Go ahead please.
Barry G. Haimes – Sage Asset Management, Inc.: Hi guys, just wondering if you can give us a little color on some of the end markets, as you kind of go through construction so on and so forth, just a little feel for what’s feeling better, what’s feeling worse, what sort of study actually goes? Thanks.
Michael D. Siegal: Okay, sure. David, why don’t you take that one?
David A. Wolfort: Yes, Barry, thanks for the question. Barry, we are not immune to market circumstances and market conditions and so what we are seeing throughout the year is a very uneven traffic environment. And of course third quarter, some were slow down in July, quickly had a recovery in August, moderated in September, came back up in October and we see that is moving forward. So we see ourselves on a trajectory of growth. We think the market continues to recover at post great recession. We see a number of our OEMs gaining traction, quite again it’s uneven, other is a variety of which all you read about some of the large OEMs and as Michael indicated, we do a lot to this part and have the assemblies for those particular customers. But our long-term outlook Barry is robust and then a recovery evening out and getting away from the choppiness and we think we ultimately have to endure some of that for 2014.
Michael D. Siegal: So Barry, as we go markets-by-market automotive remains relatively strong from where it’s at. We don’t see any kind of pull back in automotive where that is. Clearly within the construction markets, they are improving slowly, obviously caterpillar specifically has its mining divisions. They have spoken to their issues in the mining sectors. It doesn’t mean we at Olympic Steel want to improve our position with CAT, in a variety of their locations and their divisions, but they’ve got those issues, which have been certainly explored by them. And then ultimately when you look at the Food and Ag those markets remain pretty good. That was out individual statement indicated now about individual vagaries to this company versus that company or this specific product line versus that. But as you look at the outlook for GDP growth on food and restaurants business, the service business as it relates to how the American economy is growing. However not robust, we look at the food and Ag business is one that is the pretty sustainable market.
Barry G. Haimes – Sage Asset Management, Inc.: Sounds, good. Just one quick follow-up can you just take Ag not the food side, your gears and cases and so on the world, just roughly as a percentage of sales for you guys any ballpark how big Ag is?
Michael D. Siegal: Go ahead.
Richard T. Marabito: Yes, Ag is about I think 5% or 6%, we’ll give you an exact number not in off the top of my head.
Michael D. Siegal : We’re looking at and that’s just bigger than that because when we look at the fabricators, which is a big part of our business. I would say that was in, we have sort of the – what we call, the agricultural breakdown, then we got the construction breakdown. And then we have sort of a big part of our business is selling fabricators which are pass through. So I would say this probably doubles out by what we sell indirect, through fabricators.
Richard T. Marabito: Right, so the way to think about I got the exact number were about 8% of our business is specific to Ag and Farm. But as Michael said if you look at Olympic Steel where almost 60% of our business goes to industrial machinery equipment which would include Ag and Farm Equipment plus their fabricators in sub-tier suppliers.
Barry G. Haimes – Sage Asset Management, Inc.: Got it, thanks very much, I appreciate the color.
Michael D. Siegal : You are welcome.
Operator: (Operator Instructions) And our next question is from Charles Bradford with Bradford Research. Go ahead, please.
Charles A. Bradford – Bradford Research: Hi, good morning.
Michael D. Siegal : Good morning.
Charles A. Bradford – Bradford Research: I’m sure, you’re aware there has been a lot of speculation about what happens with the ThyssenKrupp plant in Alabama. Question isn’t about that specifically, but there has been talk around the industry that some of the ArcelorMittal salesman are going around claiming that they’ve got it. Other people these are people probably who don’t have a clue. Other people saying that maybe U.S. Steel salesman are going around. Have any of these salesmen wrote to you with that idea?
Michael D. Siegal : Not that I’m aware of.
Charles A. Bradford – Bradford Research : There has also been some talk I guess someone send out a memo that if such a deal is announced they are going to either withdraw or stop negotiating contract business until the dust settles, have you seen any of that?
Michael D. Siegal : Chuck, who is they? Who are you referring to when you say ‘they’.
Charles A. Bradford – Bradford Research : Press carried a story they didn’t give the name of which executive supposedly wrote this memo to their sales force.
David A. Wolfort : It’s not us, Chuck.
Michael D. Siegal : Yes, Dave Wolfort did not do that.
Charles A. Bradford – Bradford Research: The question is really, are you get the side of that, not that you’re sending the memos out?
Michael D. Siegal : We are not aware of any such memo.
Charles A. Bradford – Bradford Research: Thank you.
David A. Wolfort: These things as you know have been going on for probably a year now with rumors and nothing happens.
Richard T. Marabito : Well, Chuck just without rumors, I mean you obviously, we’ve seen a lot of changes, a lot of the steel producers both from the standpoint of their executive management, and their sales management both so I would just say all of this transition, I think there is a lot of speculation that is based on that, but what the old guys did or did not do, but the new guys will do.
Michael D. Siegal: Well, I think these are all just rumors.
Charles A. Bradford – Bradford Research: Understood and some of it doesn’t tie in with other things that you have done.
Michael D. Siegal: But that’s different issue.
Charles A. Bradford – Bradford Research: Thank you very much.
Michael D. Siegal: Thank you.
Operator: This concludes our question-and-answer session. I’d like to turn the conference back over to Mr. Michael Siegal for any closing remarks.
Michael D. Siegal: Yes, thank you operator and thank you all for joining us on this morning’s call and we look forward to communicating our continued progress when we report our fourth quarter full year results in February. Once again, we thank you for participating on this morning’s conference call and the interest you have in Olympic Steel. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. Please disconnect your lines.